Operator:
Good morning, ladies and gentlemen, and welcome to the Stingray Group Inc. Q4 2025 Results Conference Call. This call is being recorded on Wednesday, June 11, 2025. I will now turn the conference over to Lloyd Feldman.

Lloyd Feldman (Moderator):
Good morning, everyone. Thank you for joining us. Today, Eric Boyko, President and CEO, and Marie-Hélène Foulbier, Interim CFO, will discuss Stingray’s Q4 and full-year results. Our press release and financial documents are available on our website and SEDAR+.

Before we begin, a reminder that today’s discussion may include forward-looking statements. Actual results could differ due to risks outlined in our Annual Information Form. We also reference non-IFRS financial measures—please see our MD&A for reconciliations. All figures are in Canadian dollars unless noted.

Now, over to Eric Boyko.

Eric Boyko (President & CEO):
Thanks, Lloyd. Fiscal 2025 was a standout year. Our advertising revenue in broadcast and commercial music grew over 45% for the second straight year, driven by FAST channels and retail media. We launched new channels like Cozy Cafe and Stargaze, cementing our leadership in connected TV music and ambient content.

A key initiative this year was our Premium Ad Inventory Network, which lets partners monetize unsold ad space. This is already showing promise and should fuel growth in fiscal 2026.

In retail media, we partnered with AIB Canada and Léger to highlight the power of in-store audio ads, further establishing our leadership. We’re optimizing pricing and sales strategies to maximize this opportunity.

Organic growth hit 12.3%, building on last year’s 10.2%. This marks two consecutive years of double-digit growth, and we’re confident this trend will continue.

Financially, we reduced net debt by $27 million, ending the year with leverage at 2.28x—well within our target. Adjusted EBITDA growth outpaced revenue, reflecting strong operational execution.

Broadcasting and commercial music revenue rose 17.8% to $254 million, while radio grew 2.3% to $132 million, meeting our target. Our strategy to cross-sell in-store ads through radio teams is paying off, with radio revenue up nearly 4% in Q4 despite a tough market.

Looking ahead, fiscal 2026 priorities are clear: reinvest in high-growth areas, reduce leverage below 2x, pursue strategic M&A, and continue rewarding shareholders through buybacks and dividends.

I’ll now pass it to Marie-Hélène for the financial details.

Marie-Hélène Foulbier (Interim CFO):
Thank you, Eric. Q4 revenue was $96 million, up 14.8% year-over-year, led by FAST channels and foreign exchange benefits. Canada grew 2.7% to $46.8 million, the U.S. jumped 45% to $38 million, while other regions declined 5.5% to $11.2 million.

By segment, broadcasting and commercial music revenue increased 20.9% to $64.6 million, and radio rose 3.9% to $31.4 million. Adjusted EBITDA grew 19% to $35 million, with margins expanding to 36.5%.

Net income was $7.7 million ($0.11/share), a significant improvement from last year’s $46.3 million loss, which included a goodwill impairment charge. Adjusted net income was $18.6 million ($0.27/share), up from $15.4 million.

Cash flow from operations was $39.7 million, down slightly due to higher taxes and restructuring costs. Adjusted free cash flow improved to $18.4 million. We ended the quarter with $14 million in cash and $156.3 million in available credit. Net debt stood at $327.4 million, down $27.3 million year-over-year.

We repurchased 275,000 shares in Q4 ($9.1 million for the year) and paid $20.5 million in dividends.

Back to Eric for closing remarks.

Eric Boyko:
Thanks, Marie-Hélène. We’re proud of our team’s work and excited about fiscal 2026. With strong momentum in FAST, retail media, and radio, we’re well-positioned for another year of growth. Let’s open the line for questions.

Operator:
First question from Adam Shine, National Bank Financial.

Adam Shine:
Congrats on the strong finish. Can you quantify FAST revenue for fiscal 2025 and expectations for 2026? Also, how does the ad inventory backfilling initiative impact margins?

Eric Boyko:
FAST revenue is tracking well above initial expectations, and we’re seeing similar momentum in Q1 2026, with growth over 40%. Backfilling unsold inventory is a game-changer—it could double FAST revenue potential. Partners typically sell 40–50% of ads directly; we monetize the rest programmatically. Margin-wise, partner-sold ads are recognized net (higher margin), while our direct sales are gross (around 40% margin).

Adam Shine (follow-up):
Leverage target—are you aiming for “below 2x” or “approaching 2x”? Any M&A capacity?

Eric Boyko:
We expect to be below 2x by December 2025. This gives us flexibility for $30–40 million in buybacks or tuck-in deals. Larger M&A ($200–400 million range) is on hold due to market volatility, but we’re monitoring opportunities.

Operator:
Next question from Scott Fletcher, CIBC.

Scott Fletcher:
Subscription revenue grew 7% in Q4—is this sustainable?

Eric Boyko:
No, this was a one-time bump from a promotion. Focus on year-over-year growth for modeling.

Scott Fletcher (follow-up):
If you pursue larger M&A, how would you finance it?

Eric Boyko:
Debt-only. With our free cash flow yield at 15–17%, equity is too expensive. We’d stay below 3x leverage post-deal.

Operator:
Final question from Jerome Dubreuil, Desjardins.

Jerome Dubreuil:
How is the macro environment impacting advertising demand?

Eric Boyko:
FAST channels are benefiting from the $70 billion shift from traditional TV ads. Radio is also holding up—Q1 revenue is up 5% as we gain share.

Jerome Dubreuil (follow-up):
Are you seeing pricing power in retail media?

Eric Boyko:
Yes, we’re optimizing CPMs and fill rates. Video ads in retail (like Metro stores) are a new growth driver.

Eric Boyko (Closing):
Thanks, everyone. We look forward to updating you in Q1.

Operator:
This concludes the call. Thank you for participating.